Operator: Welcome to the Q1 2013 MicroVision Incorporated Financial Results Call. My name is John and I’ll be your operator for today’s call. At this time all participants are in listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Ms. Dawn Goetter, Director of Marketing Communications. Ms. Goetter, you may begin.
Dawn Goetter: Thank you. I’d like to welcome everyone to MicroVision’s first quarter 2013 financial and operating results conference call. In addition to myself, participants on today’s call include Alexander Tokman, President and Chief Executive Officer; Stephen Holt, Chief Financial Officer; and James Johnston, Controller. The information in today’s conference call may include forward-looking statements including statements regarding benefits under existing contract and the negotiation of future agreements, our competitive advantages, products with perspective customers, projections of future operations and financial results, product development, applications and benefits, availability and supply of product and key components, market opportunities and growth in demand, plans to manage cash used in operations, as well as statements containing words like believe, goal, pass, expect, plan, will, could, would, and other similar expressions. These statements are not guarantees of future performance. Actual results could differ materially from the future results implied or expressed in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are included in our most recent Annual Report on Form 10-K filed with the Securities and Exchange Commission under the heading Risk Factors relating to the company’s business and our other reports filed with the Commission from time to time. Except as expressly required by the federal securities laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changes in circumstances or any other reason. The agenda for today’s call will be as follows. Alex will report on the operation results. Steve will then report the financial results. There will be a question-and-answer session and then Alex will conclude the call with some final remarks. I now would like to turn the call over to Alex Tokman. Alex?
Alexander Tokman: Thank you, Dawn. Good morning, everyone. Thanks for joining us today. Before begin, let me briefly introduce Steve Holt, our new CFO. Steve brings over 20 years of global financial management and operations experience with public and private companies across several industries including consumer electronics, software, and transportation. He most recently served as a CFO at PixelOptics where he played a key roll in bringing company’s first electronic eyewear product to market. In addition to his extensive financial management and accounting background, Steve has a proven track record of successfully implementing operational efficiency, initiatives at the company he served. We are glad to welcome Steve to MicroVision family. Now, let’s move on to business update. Few months ago we reported very positive progress and results around key operating metrics for 2012. And I’m pleased to tell you that this positive trend has continued in the first quarter of this year, as we made demonstrable progress on our main 2013 objectives. Let me recap our three primary 2013 goals that was stated in February and then we’ll discuss the progress on each we made during this quarter. The three primary goals included securing design wins and entering into development and licensing agreements with OEMs. Second, strengthening the supply chain for key components of PicoP display technology to offer multiple sources to OEMs as they plan to bring their products to market and finally to further reducing cash use in operations. Let’s start with the goal number one. On April 3, we announced an important development agreement with a major electronics brand to incorporate our patented PicoP display technology into the customer produced display engine that could enable a variety of new products for this Global Fortune 100 electronics company. If you wonder the importance of this deal without a question, it is the most important agreement in the history of MicroVision to-date for variety of reasons. The development agreement included $4.6 million in fees for the support where we will provide to our new OEM partner over the coming months. This agreement obviously is part of the overall design win process as we help our new customer with product development efforts, we expect to continue the commercial negotiations on supply and licensing terms. This important milestone was a result of several developments that were completed in 2012. Last year we made significant progress on further increasing the value proposition of PicoP display technology through various performance enhancements and a very strong roadmap. Today’s solution – today’s PicoP display solution possess the attribute simply unmatched by others. It is the only HD-capable, focus-free pico projection technology in the market that offers an immersive experience. It allows the multi-hour operations from a single battery charge, it can be delivered in a tiny package whose size does not increase as it gets brighter and brighter. Higher brightness and a low power are the two of the main attributes that are particularly important to the mobile industry. As no one wants to see their devices drain of power after less than one hour of operation. Today, our brightness to power consumption ratio is superior to any other competitive solution, and we believe strongly that this ratio will remain superior to other solutions in the foreseeable future. Last year remember, we shipped design samples out to our 50 prospective customers to allow them to test drive our new PicoP display technology that was designed around new direct green laser. Most of these prospective partners reached out back to us after they completed our technology evaluation phases in the latter part of 2012, and indicated an interest in discussion I go-to-market strategy for their product – products. We then have to prioritize this global interest and we selected the vital few targets to focus no first. As a result in addition to the recently announced OEM agreement, we have continued to make a solid progress with several other perspective customers that are interested in creating consumer and automotive products that would incorporate our PicoP display technology. At this point, let me now shift to goal number two, supply chain. This is also very important goal. I’ll explain to you in a moment, why? We made significant moves to build a stronger supply chain to facilitate the adoption of PicoP display technology by global OEMs. Of the many pieces that comprise our PicoP display engine, there are four indispensable components that are very difficult to reproduce. These include lasers, MEMS, the optical module that houses, lasers and MEMS and obviously the system control software that serves as a brain for the whole engine. As many of you are aware of the green laser supply issue that hindered us in the past has been greatly alleviated in the second half of last year after we launch first product with Pioneer. And today global OEMs see a path to high volume, low-cost green laser solution from several reputable sources. Now, that the green laser supply is being addressed, MicroVision’s next goal this year is to develop and cultivate more than a single source of supply for two other critical components specifically with the optical engine and MEMS. We made significant progress towards identifying variance and then listing new supply chain partners for both of these components. The goal is to offer to our future OEM license and partners and access to larger volumes and the lower cost components to meet their growing demands for products. Finally, in line with the objective of further reducing cash used in operations, we have shown tangible results during the first quarter of this year versus a year ago as both operating and net losses were reduced by almost two-thirds, primarily as a result of both improved gross margins and significant reduction in operating expenses fall into last year restructuring efforts. With this, I will turn over to Steve to provide you with some more details. Steve?
Stephen P. Holt: Thank you, Alex, it’s great to be here. As I’ve been in the CFO position for just eight days, I’ve asked our Controller, Jim Johnston to join me on this call. I’ll cover revenue, operating expenses, operating and net losses and our cash usage and position. In the first quarter, our revenue was $1.8 million, this is up slightly from $1.7 in Q1 of 2012. The $1.8 million is comprised of $1.2 million in product revenues and $600,000 of contracted development revenue. On operating expenses, as it has been mentioned, we’ve reduced our operating expenses significantly from Q1 of last year. Operating expenses for Q1 of 2013 were $4.7 million compared to $7.2 million in Q1 of 2012, a reduction of $2.5 million or about 36%. On the operating and net losses, the Q1, 2013 operating loss was $3.7 million and the net loss for the quarter was also $3.7 million or $0.14 a share. This compares to an operating loss of $9.8 million and a net loss of $9.8 million or $0.58 a share in Q1 of 2012. The main reason for the decreased loss was a reduction in the operating expenses and improvement in margins. On the cash, cash used in operations for the quarter ending March 31, 2013, was $3.5 million. This compares favorably to the $6.2 million used in the year ago quarter. Again, this principal reduction in cash usage came from the decrease in operating expenses. Cash on hand at the end of the quarter was $3.3 million. The accounts receivable balance at March 31, was $1.5 million. And finally on backlog – backlog for the quarter was $5.1 million, of this $4.3 million related to the agreement that we announced in April and approximately $500,000 relates to Pioneer shipments. In addition, there was $363,000 in deferred revenue as of March 31. We will now open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Andrew Uerkwitz from Oppenheimer & Company. Please go ahead.
Martin Yang – Oppenheimer & Company: Hi. Can you hear me?
Alexander Tokman: Yes.
Martin Yang – Oppenheimer & Company: Hi, Alex. This is Martin Yang on behalf of Andrew Uerkwitz. I have two questions. Can you talk about how close are you to another OEM win?
Alexander Tokman: Great question. As you know, we just announced our first consumer electronic win in April. We’re focusing on – of the response we received at the end of last year more than 40 responses of interested parties, we prioritize them in groups of fives, we’re focusing on the first group of five. Our goal is to complete additional agreements in 2013.
Martin Yang – Oppenheimer & Company: Can you be more specific in terms of the timeline, are you expecting in the first half, second half?
Alexander Tokman: It’s not easy to pinpoint the specific dates, so we have – our goal is to complete additional agreements this year.
Martin Yang – Oppenheimer & Company: Gotcha, thanks. And my second question is about the announced design wins. About this new consumer electronics customer and are they working on multiple projects that utilize for PicoP live engine?
Alexander Tokman: I think I understand your question. You basically – your question is, is the engine that we’ve been – we will be – we are developing is this going to be a target for multiple products, the answer is yes.
Martin Yang – Oppenheimer & Company: I was talking about the win you announced with that Global Fortune 100 electronics company, is your engine design into multiple projects within that company?
Alexander Tokman: The answer is yes.
Martin Yang – Oppenheimer & Company: Gotcha. Thanks.
Operator: Our next question comes from Mike Latimore from Northland Capital. Please go ahead.
Michael Latimore – Northland Capital Markets: Great. Thanks a lot. Hi, guys. The – on the new win here, are they replacing legacy technology with your technology, or is this kind of a brand new initiative for them?
Alexander Tokman: This is a brand new initiative.
Michael Latimore – Northland Capital Markets: Okay, got it. And then in terms of revenues you would have in the second quarter, would the majority come from this – this one contract, or you see other revenue sources?
Alexander Tokman: We actually have several revenue sources in the second quarter. Remember, we’re still fulfilling the orders for Pioneer, and we have revenue coming from Pioneer for this source as well as some other sources.
Michael Latimore – Northland Capital Markets: All right. And I think in the past you’ve given a rough percent of prospects there in the consumer versus auto market. I think that was based on number of prospects, but can you kind of just update that and is that also reflective of the revenue opportunity by those two categories, consumer and auto?
Alexander Tokman: Okay, great question, Mike. So recall last year when we shipped, we had request from over 50 people, we shipped the design samples once they become available to over 50 global OEMs, they were distributors, so that’s 40% came from consumer market, 50% from automotive, and 10% from other. We then – so the big pull comes from primarily two areas; consumer and automotive. It appears to be, as you expect the consumer – the consumer applications are focused on PicoP projection whether they are attachments embedded or accessories and automotive is focused primarily on head-up display and there is a huge momentum on the embedded head-up display from all over the world. And our goal is to figure out separate pretenders from contenders, focus on people who are more committed than interested and moving these deals forward.
Michael Latimore – Northland Capital Markets: Okay. So in terms of revenue side, revenue opportunity, is that – are you seeing more in the consumer or auto side I guess?
Alexander Tokman: I think the short – I mean revenue opportunity will always be greater in the consumer sector primarily because of volume. Margins would be better slightly better in automotive.
Michael Latimore – Northland Capital Markets: Great, Okay. And then you talked about giving more optical engines, MEMS supply out there. Can you kind of just qualitatively describe the – whether that’s as big of hurdle as this is the direct green laser supply that we saw in the past?
Alexander Tokman: No, absolutely not. Direct green laser is something we had no control over. We could influence, we could plead, but we did not have direct control, which means we have more direct control, so we have a control on our own destiny, who we select, how do we move forward and how do we execute. And we have not had any issues in execution on MEMS to-date and this going to – we expect that this will continue.
Michael Latimore – Northland Capital Markets: Got it. And I guess last question, do you see the prospects for any sort of upfront license payments on any of the deals you are negotiating? And then second, what kind of margin might you see on the development fee with this announced deal?
Alexander Tokman: Great question. So first of all, yes. One of the things, when you have a huge interest from – on the globe, the way you felt that whether people are serious or not, they’re willing to commit upfront. And one of the reasons we signed this deal because customer was so much that it had a very compelling business keys and we’re willing to give us upfront before the products are introduced. So we’re looking at situations like this, obviously we can’t expect these type of amounts everytime. But the point is, we are looking at partners who are showing commitment by putting some upfront whether it’s NRE or whether it’s some upfront license fee. And when we prioritize our larger funnel of top group contains these type of elements. In terms of margin, I can’t specifically talk about this deal. But I can tell you, our goal is to have margin, gross margin above 40% it will be mix. In consumer electronics, it would be slightly less, in automotive, it would be slightly more, but we want to average around 40 or greater.
Michael Latimore – Northland Capital Markets: And that’s the combined product and development fee kind of margins or is that’s the company partners...?
Alexander Tokman: Oh, you’re talking about what is specific – again, this is something that we did not introduce when we announced the agreement, because certain parts are held confidential per request of our partner. So I can’t tell you specifics on this contract.
Michael Latimore – Northland Capital Markets: Okay, great. Thanks a lot.
Operator: Our next question comes from Andrew D’Silva from Merriman Capital. Please go ahead.
Andrew D’Silva – Merriman Capital: Hey, guys. Just got a couple of quick questions for you; the first one is, what was the primary reason for the gross margin reduction? I mean, you definitely improved that dramatically in the quarter.
Alexander Tokman: Reduction or improvement?
Stephen P. Holt: It’s the improvement, yes.
Andrew D’Silva – Merriman Capital: Yeah, the reduction cost.
Alexander Tokman: It’s simple. Andrew. Remember, year-over-year, last year we were selling SHOWWX product that was based on Gen1 technology. Even though the product was very successful through Amazon channel, through Apple channels, we were not making money, because each green laser cost us more than $100. So this year most of the revenues comprised of the next-generation technology that is build around red, green laser, which is much more cost effective, plus we migrated our core licensing model, which is higher margin. So that’s the primary – these are the primary reasons.
Andrew D’Silva – Merriman Capital: So an improvement in the technology or improving your profitability in the long run.
Alexander Tokman: Right.
Andrew D’Silva – Merriman Capital: Also I guess my next question, how do you feel about your capital situation right now. Do you think you have enough cash at your books that continue operations for the next year or so?
Alexander Tokman: Yeah, we feel much better, because we executed restructuring program to basically to significantly reduce operating expenses, so that we can expand cash longer and it would require less external cash to get to our objective. We ended the quarter as Steve mentioned with about $340 million and that does not include some additional payments we received subsequent to it. And we feel that, as you know, we’re continuously monitoring the market conditions. We were speaking to strategic investors and our goal is to access all available option and then determine the best one that is in best interest of the company and every shareholders.
Andrew D’Silva – Merriman Capital: Okay. And that’s all I have right now.
Operator: Our next question comes from Thomas Szulist from No Limits Capital. Please go ahead.
Thomas Szulist – No Limits Capital: Hi, Alex, congrats on the win, design win. Question, where we add lumens and where do you see theoretically we’re going to be able to go with the existing generations?
Alexander Tokman: This is excellent question. One of the things that everybody quickly figured that out in 2010, when the initial pico projection products were introduced is that, obviously, 10-lumen is not sufficient. Everybody wants to have something on the order of 25 or greater. The larger question is not about the lumen, it’s about how big average screen size can you get in the different ambient light environment. And it’s not only function of the absolute lumen, but also function of the technology, do you use LEDs or you use lasers. Do you use panels like DLP and LCOS or do you use mirror, single mirror such as us. And this has to be balanced directly against the power consumption, because everybody wants higher brightness, but no one wants to give up the battery operation. So there is a trade-off that needs to be made. And as I mentioned early in the call, what people are really looking is to have the greatest brightness to power consumption ratio, because it allows you to create compelling image and at the same time our device to operate for two, three, four hours in order to watching movie. Today, luckily for us we are one of the very few, it’s not the only company that can allow to do this. So we have devices today that range from 25 to 35 lumen and we’re moving towards 50 lumen display, at the same time our power reduction is fraction or what it is for other technologies. So this is one of the reasons that people seriously considering us, because they always knew we had this advantage, but in the past they were stopped, because we – no one had access to the right green laser. This was alleviated at the end of last year and now we have the advantages, with finally the green laser landscape has improved tremendously, so we have a lot of interest.
Thomas Szulist – No Limits Capital: You recently filed some patents which give you a higher efficiency and that you can calculate the distance of your actual image being projected and then you adjust your power accordingly. It appears from what I’ve seen is, there is really no way to get around that and that your technology with these patents seems to be one of the most efficient systems out there, is that correct?
Alexander Tokman: That’s totally correct. Remember, one of the things that we do, we would place a very strong focus on innovation. And I want to use this word loosely, because everybody is using that, but innovation in the sense that we want to always be ahead of everyone by at least several years. As an example, remember, we introduced a feature that is assets on top of our core technology called Touch – Interactive Touch. So you basically can display an image and at the same time use your fingers to articulate information in the image. Now, how can you do this? You can do this, because our technology is truly reversible, so you can not only display it, but also capture information. And that’s one of the features that you just mentioned, so we can obviously detect any object in the beam and measure any distances, and that’s – you’re right, this type of IP is very important and it’s what keeps people interested, because most people to be honest with you, most global products companies, they are not just seeking a display application. Everybody can display. What they want to know, what else can you do with this to entice the consumer? And the way you entice the consumer is that you have the best projection technology, but also show that you can do something completely different, radically different with it, such as using your fingers in the air, articulated objects or convergence into 3G technology or measuring any distances and then adjusting the – your display according to the best conditions that are available.
Thomas Szulist – No Limits Capital: So based on where you are today and the patents that you have going forward with some of these additional technologies that’s what lend yourself to be such a compelling solution, because not only i.e., the perfect solution now, but you are also – new generations will be able to enhance everything you are doing, is that correct?
Alexander Tokman: Well, that’s what we hope and that’s what we think. But obviously it’s going to be validated by others, and we hope that you are going to see the results of this validation shortly. I think the examples that you’ve seen right now are the first steps in that process.
Thomas Szulist – No Limits Capital: Great, nice work. Thank you. I appreciate it.
Alexander Tokman: Thanks, Tom.
Operator: Our next question comes from Randy Hough from ProEquities. Please go ahead.
Randall Hough – ProEquities: Good morning, fellows. Alex let me just dug tail into the last question you answered, on the recording capabilities of our technology, could it be developed to such as state where it could become a true camera recording device? And then be optimally turned around to project this – the image recorded in the mobile device?
Alexander Tokman: Randy, it’s a function of application. For example, if you want to do something for your day-to-day consumer applications, there is very cheap CMOS cameras that would achieve the same objectives. But if you need something higher resolution for completely non-consumer applications that require laser light and then more precision, absolutely, it could serve that. We actually have some applications in other industries that people are interested in that we would consider after we’ll launch couple of consumer and automotive products. So yes, we have opportunities. As you know, we sell some of these opportunities to 4% the core vital few. After we become successful with the consumer and automotive products to start with, we immediately migrate and start exploring and proliferating other exciting applications that include something related to capturing information. So – and they have value in some of the industries to a degree where it could become a significant business in the future as well.
Randall Hough – ProEquities: Okay. So it’s not likely then Alex that the recording application would be developed to the point where would be that well factor, additional thing that you mentioned a minute ago that OEMs are looking for in a mobile device as they are currently performed?
Alexander Tokman: If you’ve just taken pictures, you already probably have the best technology in terms of its cost performance, which exist today. However, if you want to enhance the adoption of the display applications, our technology allows to combine these two functions in one and provides overall cost effective solution. So in PicoP projection applications absolutely, we see the benefit of the capturing imagery combined with display an imagery as a huge enhancer for our technology. But if you ask in, could this replace just a regular digital camera, there is no need for it, because digital camera technologies maturing cheap enough that it doesn’t need to be replaced by anything.
Randall Hough – ProEquities: Okay. That nails it down. But let me bridge over into content, since we’re talking about content. Obviously, if there were no rich and desirable content out there in the world, you wouldn’t need a projector. So following that, the converse of that since we have so much content out there in selecting your customers and grouping them as you have, Alex that you explained earlier, would the ideal group or individual customers be one that’s vertically integrated in the sense that they not only have a variety of platforms in the form of mobile devices, but also with only around content. Would that be a desirable combination that you’re seeking in terms of OEMs, you would rather do business within, then those are just simply have the technology, but no content?
Alexander Tokman: Yeah. The short answer is absolutely yes, Randy, because remember, when I discussed this, how do we feel this global demand, we look for players who not only sell hardware but also benefit from having peco projection technology in other sources. And this includes content, this include software, this includes gaming, this includes variety of different categories. So when we – not everyone has all of these pieces, there is about six pieces. If you look at the hardware, software operating system, it’s number two. You get content, video content, you have special content, which is gaming that’s number four, you get services and you have advertisements. You get the six pieces not a single company in the world has all these six pieces, but there are companies who have four of these six pieces. So we have been focusing on these companies heavily.
Randall Hough – ProEquities: Okay, good. And then Steve can’t leave you out, let me go back to the – first, welcome aboard.
Stephen P. Holt: Thanks.
Randall Hough – ProEquities: On the question about the margins I think. And I think you’ve addressed it, but I’m not quite sure on the piece that we’ve received the – what was $4.6 million that was going to be received from this, you have to be named OEM. Is that kind of accounts for that is – those in anyway the positive contribution to cash when it’s all netted out, or it’s just strictly contracted that the whole $4.6 million is projected to cover exactly the services that are provided under the contract by MicroVision employees. So that it’s just a flat net cash-in, cash-out kind of thing?
Alexander Tokman: Yeah. It’s a collaborative R&D agreement and the – we are getting cash benefit from it as well as getting a technology development benefit from it. And it is I guess – are the cost that we are incurring particularly incrementally on this agreement are not – are lower than the piece that we are getting in if that’s kind of getting to your question.
Randall Hough – ProEquities: Yes. That’s exactly what I was looking for. So I would interpret that to mean that it is net positive to cash when all are certainly done?
Alexander Tokman: Yes, absolutely.
Randall Hough – ProEquities: Okay. Thank you very much. That’s it.
Operator: We have no further questions at this time. I will turn it over to Alexander Tokman for final closing comments.
Alexander Tokman: Well, needless to say we are very excited to engage the major electronics brand and plan to actually work with our new customer this year to both enable their solution and to progress in negotiations on the licensing and supply terms. We’re also very enthusiastic about the growth opportunities that can result from our internal efforts with technology advancements, securing new customers combined with the significant improvements in the green laser supply and the external market conditions that appear to be favorably aligned to our business objectives. We regularly see news and stories that illustrate the favorable market trends for pico projection. For example, AccuStream Research reported that digital video unit audience topped 500 billion mark, most of us new digital content on their mobile devices, smartphones, and tablets. For example, on the hard front, in the recent Wall Street Journal article and analysts from Tokyo-based Fuji Chimera Research Institute was quoted that HUD sales would grow 10x from today at 800,000 units to 8 million within decade. And these are just a few examples, and there are many, many more. The development that Google has been investing in Google Glass. We are excited about this, because the platform that we are developing is well suited for iware applications as well. So a lot of good momentum in the market and we are very excited about this. At this point, we will conclude this call. We’re looking forward to updating you on the progress we make against the three primary goals we set for 2013, and would like to thank you on behalf of Don, Steve, Jim for joining us this morning and we’ll see you soon.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.